Operator: Ladies and gentlemen, good morning. My name is Abby, and I will be your conference operator today. At this time, I would like to welcome everyone to Tennant Company's 2025 Fourth Quarter and Full Year Results Earnings Conference Call. This call is being recorded. [Operator Instructions] Thank you for participating in Tennant Company's 2025 Fourth Quarter and Full Year Results Earnings Conference Call. Beginning today's meeting is Mr. Lorenzo Bassi, Vice President, Finance and Investor Relations for Tennant Company. Mr. Bassi, you may begin.
Lorenzo Bassi: Good morning, everyone, and welcome to Tennant Company's Fourth Quarter and Full Year 2025 Earnings Conference Call. I'm Lorenzo Bassi, Vice President, Finance and Investor Relations. Joining me on the call today are Dave Huml, President and CEO; and Fay West, Senior Vice President and CFO. Today, we will review our fourth quarter and full year performance for 2025. Dave will discuss our results and enterprise strategy, and Fay will cover our financials. After our prepared remarks, we will open the call to questions. Our earnings press release and slide presentation that accompany this conference call are available on our Investor Relations website. Before we begin, please be advised that our remarks this morning and our answers to questions may contain forward-looking statements regarding the company's expectations of future performance. Such statements are subject to risks and uncertainties, and our actual results may differ materially from those contained in the statements. These risks and uncertainties are described in today's news release and the documents we file with the Securities and Exchange Commission. We encourage you to review those documents, particularly our safe harbor statement, for a description of the risks and uncertainties that may affect our results. Additionally, on this conference call, we will discuss non-GAAP measures that include or exclude certain items. Our 2025 fourth quarter and full year earnings release and presentation include the comparable GAAP measures and reconciliations of these non-GAAP measures to our GAAP results. I'll now turn the call over to Dave.
David Huml: Thank you, Lorenzo, and good morning, everyone, and thank you for joining our Q4 and full year 2025 earnings call. As we reported today, our Q4 and full year 2025 results were materially impacted by the North America go-live of our new ERP system during the first week of November of 2025. I will be devoting a significant portion of my overall remarks to the North America ERP go-live. I want to address upfront the impacts, including operationally, financially and for our customers, where we stand today and the path forward. Let's talk about what happened. Despite a successful go-live in the APAC region in September and extensive preparation in North America, the cutover of the ERP system in the first week of November introduced severe system functionality issues that limited our ability to enter orders, ship products and service our customers. Core functionality required for processing orders, particularly for our highly configurable machines did not perform as intended. As these issues emerged, our teams, together with our implementation partners, mobilized extensive stopgap procedures to offset system limitations that prevented normal order entry, production sequencing and shipping. These actions allowed us to process limited activity, but they were highly labor-intensive, inefficient and not an adequate substitute for fully functioning workflows. Despite these sustained efforts to diagnose, remediate and recover, the underlying problems proved far more complex and persistent than we anticipated based on our stress tests. We expected a short-lived productivity dip similar to APAC, where operations normalized within a week. Instead, in North America, we lost 3 full weeks of machine order entry and parts shipping capability. In essence, the system could not be stabilized as quickly as anticipated, prolonging the disruption and amplifying the operational impact, irrespective of the significant investment we made in recovery actions. So what do we have planned? And why did it not operate as expected? We moved into the go-live based on the results of our testing and the confidence we had in the readiness of the environment, including sign-off from both the business readiness team and our implementation partners. We also had clear mitigation plans that included safety stock and manual contingencies. These were designed to offset anticipated potential inefficiencies, not an unexpected fundamental inability to transact for a prolonged period. We also relied heavily on our APAC implementation experience as a proxy for North America. While we believe that experience would guide our North America transition, the complexity and scale of the North American business created unique challenges. Let's talk about the operational and customer impacts. Our operations were significantly disrupted, particularly from the cutover date through November across all 3 U.S. production and distribution facilities. To keep plants running, we incurred additional overtime, freight and other direct operating costs from the cutover date and into December as we worked to maintain production and distribution. The customer impact was equally severe. During November, starting on the cutover date, we were unable to fulfill many orders and could not provide reliable visibility into shipment timing. Our parts and consumables and service businesses were especially affected as we were unable to ship parts for most of the month. Our inability to operate at scale drove an extended backlog and limited our ability to provide reliable shipment dates. We take great pride in our customer relationships and recognize how much trust our partners place in us. Our teams communicated frequently throughout the disruption and many of our customers showed patience in the early days. We are appreciative of that, and we sincerely apologize for the strain this has caused. Let's shift to the financial impact. The operational constraints had clear implications for both fourth quarter and full year performance. Orders were reduced by approximately $15 million as the challenges we experienced in parts and consumables and in equipment directly affected demand. These dynamics, combined with our limited ability to operate plants at normal capacity, resulted in an estimated $30 million impact on net sales. Roughly half of this shortfall reflects the lower order intake and the other half represents activity that moved into backlog. Gross margin was also pressured. Roughly $13.5 million of the impact came from the sales shortfall and another $8.5 million was tied to operational inefficiencies and higher labor and freight costs, along with deleverage. As a result of this gross margin impact, adjusted EBITDA was negatively affected. The ERP implementation challenges reduced fourth quarter adjusted EBITDA by an estimated $22 million. In addition to the operational effect, I would like to update you on how our ERP project costs are tracking relative to expectations. To date, since 2023, we have invested approximately $98 million in the program. For 2025, our spending remained broadly in line with plan. However, the fourth quarter challenges required incremental stabilization and support resources that were not originally contemplated. As a result, we now expect ERP-related spending in 2026 to exceed the roughly $5 million initially planned and likely reach more than $20 million as we complete remediation, maintain hypercare support and advance the next stages of our ERP modernization program. We believe these investments are appropriate to achieve the long-term benefits of our ERP modernization. So where are we now? The short answer is that we have solved the critical issues we faced starting on the cutover date in the first week of November. We remain in hypercare in North America. And while teams are identifying and fixing issues daily, the system is becoming more reliable and improving each week. In fact, core workflows, including order management, production scheduling and fulfillment have improved. We are working toward achieving system stability by the end of Q1 2026, with efficiency improvements continuing into Q2. How are we planning for the last regional go-live in EMEA? The experience in North America is reshaping our approach to the remaining ERP phases in EMEA, which initially was supposed to begin and complete in Q1 2026. We have paused the EMEA time line, not to set a new date, but to focus the entire organization on North America recovery as our 100% priority. Despite the disruption, our strategic direction remains intact. At the end of the day, everything we are working through now reinforces the long-term value of our ERP transformation, including better data, greater scalability and ultimately, a more efficient and capable enterprise, all with the goal of serving our customers that much more efficiently and effectively. Despite these challenges in the second half of the fourth quarter, the fundamentals of the business remained strong. Our international teams delivered solid execution throughout the year and the momentum we saw outside North America in the fourth quarter highlights the breadth and durability of our global footprint. EMEA grew 5.1% year-over-year, supported by price realization, foreign exchange and steady commercial execution across multiple markets. APAC returned to improved performance late in the year as growth in Australia and India offset softer demands in parts of East Asia. These results reinforce the strength of our global portfolio and our team's ability to perform in dynamic market conditions. From an innovation and growth standpoint, 2025 marked important progress on several of our strategic fronts. We launched 4 major new products during the year and continue to see increased customer adoption of our robotics portfolio, which delivered roughly $85 million in AMR sales, inclusive of recurring autonomy fees. We also maintained disciplined capital allocation throughout the year. In 2025, we repurchased approximately 1.1 million shares for $88 million, reducing outstanding shares by about 6%. This was an intentional and meaningful deployment of capital, consistent with our long-standing strategy. We were able to do this while continuing our commitment to returning capital through dividends, including the company's 54th consecutive annual dividend increase. Our balance sheet remains strong and with low leverage and solid liquidity, we have the capacity to invest in innovation, operations and strategic priorities while still returning capital to shareholders. The actions we took in 2025 reflect our stated capital allocation priorities, and that is how we will continue to approach capital allocation in 2026. We remain committed to growing our business, investing organically and pursuing strategic acquisition opportunities. We will also continue to use our share repurchase authorization when it represents the best use of capital. That discipline, combined with the strength of our balance sheet positions us well as we move into next year. Let me shift and talk about the launch of our dedicated TNC Robotics group. A major milestone in the quarter was the launch of a dedicated organization focused on accelerating the adoption and scaling of our autonomous robotic cleaning solutions. This new structure brings together expertise spanning product design and engineering, production, commercial strategy, marketing, business development and customer support. The intent is to create a unified and focused team responsible for advancing our autonomous product road map, expanding production capacity and supporting customers throughout the deployment and operational life cycle of these solutions. The formation of this group directly aligns with our enterprise growth pillars. The team will accelerate our product road map, strengthen our commercial focus and enhance customer engagement throughout the adoption journey. By unifying these capabilities, we are better positioned to drive awareness, increase demand, build the right channels and deliver a consistent customer experience as autonomous solutions scale globally. The AMR market continues to expand, driven by persistent labor shortages, rapidly advancing technologies and declining costs. At the same time, the landscape is becoming more competitive as new entrants move into the space. Establishing a dedicated AMR organization positions us to move faster, innovate more efficiently and provide the support needed for consistent in-field performance. This is a meaningful step forward in advancing our enterprise strategy and capturing the significant opportunity emerging in autonomous cleaning. With this renewed focus and increased investment, we are elevating our long-term ambition. We expect our AMR revenue to reach approximately $250 million by 2028, reflecting our confidence in the technology, the strength of our portfolio and our ability to lead the ongoing transformation of this industry. Looking ahead to 2026, our primary focus is on restoring full operating capability in North America and driving steady improvement in efficiency as our system performance strengthens. We expect the challenges associated with the ERP transition to ease through the first half of the year as we expect reliability improvements, phase out of manual workarounds and teams to transition from stabilization to a focus on productivity. At the same time, we are encouraged by the momentum in our autonomous and robotic solutions. The dedicated cross-functional organization we established is positioned to accelerate both development and commercialization, and we expect to build on the strong demand we generated in 2025. We will continue to scale our autonomous portfolio through new product introductions to serve a broader array of vertical market and customer applications. Our efforts also include strategies designed to help customers adopt autonomous solutions more quickly and with greater confidence, which we believe will support higher value mix and improved margin contribution as adoption grows. We expect resilient demand across our markets to support performance. Our backlog remains healthy and commercial activity across global regions continues to show stability. With this foundation, we believe we are well positioned to capture demand and drive growth through new product innovations, strategic pricing and go-to-market sales and service actions. Based on these drivers, we expect to deliver our 2026 full year guidance with results weighted toward the back half of the year as we expect efficiency and throughput to steadily recover. Fay will provide detailed guidance and the full financial outlook in her remarks. So with that, I'll turn the call over to Fay.
Fay West: Thank you, Dave, and good morning, everyone. I'll begin by addressing the North American ERP transition. We estimate that the ERP disruption reduced fourth quarter net sales by approximately $30 million. This impact was distributed with roughly 1/3 affecting service and parts and consumables and 2/3 impacting equipment sales. We project that half of these sales are unrecoverable, while the remaining portion represents unfulfilled orders that have been added to our backlog. Furthermore, the disruption decreased adjusted EBITDA by approximately $22 million. Incremental costs due to the recovery actions Dave mentioned earlier, combined with reduced operating leverage disproportionately affected our cost of goods sold and adjusted EBITDA, resulting in the $22 million impact on adjusted EBITDA. The corresponding impact on EPS was approximately $0.91. With that context, I'll now turn to our fourth quarter and full year financial performance. In the fourth quarter of 2025, Tennant reported a GAAP net loss of $4.4 million compared to $6.6 million of net income in the prior year period. Full year 2025 GAAP net income was $43.8 million, down from $83.7 million in 2024. For the full year, net income was primarily impacted by a 6.5% decrease in net sales and a contraction in gross margin. These results reflect a combination of factors, including a decrease in volumes, partly attributable to the comparison against the prior year's significant backlog reduction benefit as well as margin pressures stemming from product mix, higher material costs and unanticipated challenges associated with our ERP transition that outpaced our pricing and cost reduction initiatives and lower operating expenses. Operating expenses decreased year-over-year due to lower compensation-related costs and reductions in certain legal, integration and restructuring expenses. This was partially offset by higher ERP spending and an increase in bad debt expense. On a full year basis, interest expense and our average interest rates, net of hedging were comparable year-over-year. Interest expense was higher in the fourth quarter due to higher average debt balances. Our effective tax rate for the full year was 24.3%, up from 20.1% in 2024. This increase was primarily due to the nonrecurrence of certain noncash discrete items from 2024. Looking at adjusted EPS, excluding non-GAAP costs, adjusted EPS for the fourth quarter was $0.48 per diluted share, down from $1.52 per diluted share in 2024. For the full year 2025, adjusted EPS was $4.57 per diluted share, down from $6.57 in 2024. I'll provide more detail on these non-GAAP costs. Our ERP modernization program in 2025 involved both planned investment and unforeseen operational impact. We invested a total of $59.1 million, comprising of $30.6 million capitalized and $28.5 million expense as we advanced our new ERP platform. As we shared, the North American go-live in the first week of November led to unexpected stabilization costs. These costs are distinct from our ongoing ERP modernization investment and contributed to the fourth quarter margin pressure. Separately, we recorded $6.4 million of restructuring charges associated with our global workforce reorganization and expect approximately $10 million of annual savings benefits beginning in 2026. Our 2025 results also reflect an updated legal contingency for the OWT intellectual property dispute. In September of 2025, a post-trial ruling increased damages by 30%, raising the total judgment to approximately $20.2 million. Consequently, we recorded an incremental accrued expense of $6 million in 2025. We have appealed aspects of this ruling, and this development does not impact our ability to sell any of our products and is not expected to affect our long-term financial performance. Let's now look at our quarterly results in more detail. For the fourth quarter of 2025, consolidated net sales totaled $291.6 million, an 11.3% decrease compared to $328.9 million in the fourth quarter of 2024. On a constant currency basis, organic sales declined 13.9%. This decrease was primarily driven by a 22.3% organic sales decline in the Americas, mainly due to the North America ERP implementation impact of $30 million on net sales as well as volume declines in Latin America across equipment, parts and consumables. These North American challenges were compounded by softer underlying demand in the industrial and aftermarket businesses. Despite these pressures in the Americas, the decline was partially offset by a 3% increase in organic sales in EMEA, driven by equipment volume growth in France, the U.K. and Spain and an 11% increase in organic sales in APAC, fueled by volume growth in Australia, China, South Korea and India across both industrial and commercial equipment. Continued price realization in the Americas also provided a partial offset. Although December showed improvement as recovery efforts took hold, we were unable to fully recover the impact of the November disruptions. Adjusted EBITDA for the fourth quarter of 2025 was $25.6 million, a decrease of $21.8 million from the prior year period and includes the approximately $22 million negative impact from the ERP implementation. Gross margin in the fourth quarter came under pressure from several key areas. The most significant factor was the ERP transition, which resulted in an estimated $13.5 million volume impact and approximately $8.5 million in incremental cost and deleverage. We also faced additional headwinds from higher material costs due to unmitigated tariff costs and other inflationary pressures, particularly affecting our LIFO reserve. This was further compounded by roughly $4.5 million in other charges for the quarter, including inventory write-downs. These pressures were partially mitigated by positive contributions from price realization and favorable foreign exchange. Adjusted SG&A expense was $10.4 million lower in the quarter, primarily due to lower compensation-related costs. As a percentage of net sales, adjusted SG&A improved slightly to 27.3% from 27.4% in the prior year period. Moving on to full year results. For the full year 2025, consolidated net sales were $1,203.5 billion, a 6.5% decrease compared to the $1,286.7 billion in 2024. On a constant currency basis, organic sales declined 7.3% -- this decline was primarily driven by lower North American volumes, influenced by the lapping of the prior year's significant backlog reduction and softer industrial demand in the second half, alongside the late year impact of the ERP transition. Net sales in the Americas consequently decreased 10.9% or 10.5% on an organic basis. In contrast, net sales in EMEA increased 5.1%, benefiting from a favorable foreign currency exchange impact and modest organic growth of 0.5%, driven by price realization. The Asia Pacific region experienced a 3.5% decrease in net sales or 2.2% on an organic basis, predominantly due to pricing actions and softer underlying demand in China, Japan and South Korea, though partially offset by volume growth in Australia and India. Across all revenue components, service grew 4.7%. Parts and consumables were modestly higher, while equipment sales declined 11.6% year-over-year. These factors were partially offset by continued price realization, particularly in the Americas and EMEA. Adjusted EBITDA for the full year 2025 was $167.4 million, a decrease of $41.4 million from the prior year, primarily due to decreased operating performance in the fourth quarter. Adjusted EBITDA margin was 13.9% in 2025, a 230 basis point decrease from the prior year period. Full year 2025 gross margin decreased to 40.2%, a 250 basis point decline compared to 2024. The decline was primarily driven by lower volume and unfavorable mix. It also reflects the cumulative impact of the fourth quarter factors that I just discussed. Collectively, these significant headwinds more than offset the benefits derived from our pricing actions and our cost-out initiatives. Adjusted S&A expense of $330 million decreased $22.1 million from 2024, primarily due to lower compensation-related costs and by the impact of the cost reduction initiatives implemented at the beginning of the year, partially offset by the effect of foreign currency and increased bad debt expense. Adjusted S&A expense as a percentage of net sales increased 30 basis points to 27.7% in 2025, which was primarily due to net sales deleverage. Turning now to capital deployment. In 2025, Tennant generated $65 million in cash flow from operations compared to $89.7 million in 2024. The decrease was primarily driven by lower operating performance, increased ERP expenditures and higher working capital consumption. Despite these factors, we delivered $43.3 million in free cash flow, including the $59.1 million investment in the ERP project. Excluding these ERP-related cash flows, our performance translated into a 157% conversion of net income to free cash flow in 2025. Our liquidity remains strong with $106.4 million in cash and cash equivalents at the end of 2025, complemented by $374.3 million of unused borrowing capacity under our revolving credit facility. We remain committed to our disciplined capital allocation strategy, which balances strategic investments in our business with a strong focus on returning capital to shareholders. In 2025, we invested $21.7 million in capital expenditures to support our operational needs. Most notably, we returned a substantial $110.4 million to our shareholders. This includes $21.9 million in dividends and a significant $88.5 million in share repurchases, representing approximately 6% of our outstanding stock. This aggressive share repurchase program underscores our commitment to enhancing shareholder value. Our net leverage ratio stands at 1x adjusted EBITDA, which is within our targeted range of 1 to 2x. We continue to evaluate and pursue M&A opportunities to enhance shareholder value. However, if there are no significant and imminent M&A opportunities, our priority is to return capital to shareholders through ongoing share repurchases and dividends. Moving to guidance. As we look ahead to 2026, we expect the overall macroeconomic backdrop and demand environment to remain broadly consistent with the conditions experienced in 2025. That being said, our guidance was formulated prior to last week's news regarding the Supreme Court's ruling on tariffs. As a result, we will need time to digest how the news may impact our contemplated guidance. We are confident in our ability to manage near-term uncertainties while also capitalizing on the opportunities ahead. As we have additional updates here to share, we will do so in due course. In North America, ERP-related operational challenges that arose in the fourth quarter of 2025 are expected to continue early in the year. As part of our recovery efforts, we conducted a comprehensive physical inventory that required a 2-week shutdown of our manufacturing and distribution facilities in early January, which will significantly affect first quarter sales and costs. Furthermore, we expect to operate below optimal efficiency as the new system stabilizes, leading to elevated costs and compressed margins, most notably in the first quarter. We project a return to a more normalized and efficient operating rhythm by midyear, underpinned by ongoing process refinement and productivity initiatives. At the same time, we expect continued gross margin pressure from the tariffs implemented during the second half of 2025. We have implemented targeted cost-out initiatives across both our supply chain and commercial pricing processes to help mitigate these impacts. Against this backdrop, we expect margin performance to improve gradually through the year, beginning with a first quarter that is generally aligned with the run rate levels we saw in the fourth quarter of 2025, followed by progressive expansion as operational momentum builds. For 2026, Tennant provides the following guidance. We project net sales to be in the range of $1.24 billion to $1.28 billion, reflecting organic sales growth of 3% to 6.5%. At the midpoint of this range, we anticipate sales growth will be driven by approximately 25% pricing actions and approximately 75% by volume increases. Notably, our volume forecast accounts for the first quarter impact from lost sales due to the physical inventory shutdown, which we expect to be partially offset by a drawdown of our existing backlog. We anticipate an increase in sales performance from the first half to the second half of the year, and we expect to see mid-single-digit growth in each of our geographies. We also expect our robotics and autonomous solutions to remain a source of momentum. For 2026, we project adjusted EBITDA in the range of $175 million to $190 million, with an adjusted EBITDA margin between 14.1% and 14.8%. This outlook is based on a year-over-year increase in net sales and an anticipated improvement in gross margin. The gross margin expansion is expected to result from a more normalized return to our favorable product mix, balancing industrial and commercial products with parts and consumables as well as an optimized customer mix. These factors, coupled with ongoing cost savings initiatives and strategic pricing actions are expected to drive profitability. Our guidance also reflects the full year impact of known tariffs at this time. Our guidance does include an increase in absolute spending for S&A and R&D and include flowing incremental resources towards accelerating our robotics growth and advancing other critical strategic initiatives. We anticipate that S&A and R&D as a percentage of sales will be comparable to 2025 percentages. Additionally, we are guiding to an adjusted EPS of $4.70 to $5.30 per diluted share, excluding ERP project costs and amortization expense. This projected year-over-year increase reflects improved operating performance, which we anticipate will be partially offset by higher interest costs and an increase in our effective tax rate. We expect our adjusted effective tax rate to be between 24% and 29%, also excluding ERP project costs and amortization expense. With that, I will turn the call back to Dave.
David Huml: Thank you, Fay. Before we move into Q&A, I want to close with a simple message. This quarter clearly reflected the impact of the North America ERP transition, but our teams responded with urgency, discipline and a clear commitment to our customers. Because of this, we've stabilized the most critical issues, and we believe we have a defined path back to normal operating rhythm as we move through the first half of 2026. At the same time, the underlying fundamentals of our business remain strong. Our global teams delivered solid execution throughout 2025. Our balance sheet is healthy and the momentum in our autonomous and robotics portfolio continues to build. These strengths, combined with the disciplined capital deployment and focused operational recovery, give us confidence in delivering our 2026 outlook. We are fully committed to strengthening our operational foundation and advancing the strategic initiatives that support growth and shareholder value creation. I'm proud of the resilience of our team, grateful for the continued partnership of our customers and confident in the opportunities ahead. With that, we'll open the call to questions. Operator, please go ahead.
Operator: [Operator Instructions] And our first question comes from the line of Tom Hayes with ROTH Capital.
Thomas Hayes: Dave, I just want to -- I guess, first, I appreciate all the color on the ERP system implementation. Maybe I just wanted to circle back on 2 questions. One, you didn't want to put words in your mouth, but would you call the system stable these days as we're kind of moving into the end of February, March time period?
David Huml: I appreciate the question, and we did strive for transparency in our comments to make sure that everyone was well informed about what we've been through in Q4 and probably put a bit more color on Q1 than we normally would, given the impact of the ERP transition. We're stable in terms of our big 5 processes. As a manufacturing business, we've got to be able to book orders, build, ship, invoice and collect. And we are capable of transacting across that range of capabilities. What we are working through now is, I would call, the remnants of stability and efficiency, being able to operate at efficiency and our people getting used to using the new system. So in comparison to what we experienced in the first 3 weeks of November, where we were unable to enter orders in the system, yes, Tom, I would say we are far more stable.
Thomas Hayes: Okay. And then, Fay, I think you mentioned of the $30 million impact to sales in the November time frame or fourth quarter time frame, roughly half of that you guys view as unrecoverable?
Fay West: Yes. We -- and these are estimates and what we consider. So we've got about $15 million of that in backlog. And the other $15 million, we -- it was roughly 1/3 of that $30 million was parts, consumables and service. And so we think that, that is a difficult business to regain and to recover. So we think that, that's the primary driver of lost revenue in Q4.
Thomas Hayes: Okay. Maybe shifting gears a little bit. I think it's really pretty interesting, Dave, I was hoping to get a little bit more color on the Robotics group and maybe what are some of the FY '26 objectives for that group? Because I think like you said at your closing remarks, there's a lot of momentum in that area right now.
David Huml: Yes. Thanks, Tom. We're really excited about it. Obviously, it's a difficult time for us from an ERP perspective, but we have continued attention and focus on growing the business and specifically in robotics, not everyone in the company is tied up, although everyone is impacted in some way, not everyone is tied up trying to solve for the ERP challenges. Really excited about the TNC Robotics venture that we've stood up. We think there's a moment in time now. I should preface my remarks, we're really proud, and I'm proud of the business that the team has built in robotics to date. So this is not a replacement, frankly, we've been doing. This is an acceleration of our efforts. Since we started this business, 2019, 2020, we've sold to hundreds of customers globally, 10,000 units deployed. We've spent a lot of airtime on these earnings calls talking about our new products, our Gen 3 software technology, our relationship with Brain and exclusivity agreement. So I won't rehash those here, but I think we've got a really great foundation to build upon. And so when we looked at the outlook for robotics, we finished the year in '25 at $85 million in profitable robotics business as a company. And we looked at the market, which is growing. The underpinnings of that growth, the persistent labor challenges, cost of labor and availability of labor, we thought that continues to provide a tailwind for us on a global basis. We're getting really strong demand signals for robotics from an interest and demand generation perspective. And as we assess the market, we see that there's a number of new entrants that are robotics-only players from Asia and elsewhere. And these players are very fast. They're very agile. They're only selling robotics. They're gaining some positions in some distribution, and we're starting to see them be in the consideration set of our customers. And so we saw this as both an opportunity and maybe a potential threat from these upstart competitors. So we talked about it kind of early part of last year, midpoint in the year, we decided in concert with our Board to make a bold move to make a step change investment and face off differentially to accelerate our growth in robotics. So the TNC Robotics group is stood up to accelerate the efforts of our core business. And when I think about having a group of dedicated people across product management, R&D engineering, marketing, demand generation, sales and deployment specialists, coupled with the core legacy Tennant strength in sales, decades-long customer relationships, the industry's largest factory direct service organization, I think it makes a really formidable combination. And so -- what the group will be focused on over the 2026 and in pursuit of our aspiration of $250 million in sales in 2028. We'll be focused on accelerating our NPD road map. We had a 4- or 5-year road map of what we wanted for products in the robotic space. This team through additional resourcing as well as investment is going to bring those products in and get those products to market faster. That will allow us to reach more customers in more distinct vertical markets with our robotic solutions in a broader range of applications. We're also going to work on improving our adoption efficiency so that we can get to -- so we can spend less time deploying robots and have our customers self-deploy to the extent possible and still have a fantastic experience. The quicker we can get the robots adopted at scale, the quicker the customers can start to realize our ROI and the quicker we can redeploy our sales and deployment resources onto the next customer. So working on demonstration efficiency, onboarding and adoption efficiency, both through software and also through our processes. And we'll also work on making sure we can demonstrate an ROI to our end-use customers through the data we can pull off the machines and demonstrate that we're hitting on the KPIs that are most important to our end-use customer. And last but not least, capturing and generating demand, just getting in front of more customers with our solution. We've been -- we've done a good job penetrating sort of large-scale customers that we sell on a strategic account and direct basis. We've got more opportunity through distribution channels and smaller customers in each of the vertical markets we serve as well as some adjacent vertical markets. So demand generation is one of the near-term goals for the TNC Robotics venture as well. Really excited about it. We think it can be a significant growth contributor for us. And I look at it as an opportunity to disrupt our own business. And so the fact that we already have a fantastic embedded business in non-robotics equipment, we are the rightful company to come out and disrupt this industry.
Thomas Hayes: Okay. I appreciate the color. Maybe if I could sneak one follow-up question in. Fay, on your commentary on the guidance, I appreciate all the color. I'm still kind of going through my notes. But I was just wondering your comment on the gross margin for Q1, you said it's going to be roughly equal to the Q4 gross margin. I was just wondering how you're kind of thinking about that progressing through the year? And do you expect -- I haven't gone through the numbers, but do you expect overall gross margin growth year-over-year in '26?
Fay West: We do. So we think that there's going to be kind of gross margin performance in Q1 of 2026 comparable to what we saw in Q4 of 2025. And that's mostly due to the physical inventory and the shutdown in the plant and the distribution centers were offline. And so the ramp-up time and the cost required to get to full production is really going to put pressure on the first quarter gross margin. We do anticipate seeing gross margin growth in sequentially. And overall, we think we're going to see kind of year-over-year gross margin expansion, which will drive the EBITDA margin expansion year-over-year as well.
Operator: And our next question comes from the line of Aaron Reed with Northcoast Research.
Aaron Reed: So I just kind of wanted to follow up a little bit more about the AMR because, again, that's the part that is always, at least for us, the exciting part of things. So you mentioned that AMR costs are starting to fall. And previously, the margin on AMR units was the same as traditional units. So how much have AMR margins improved versus the traditional units?
David Huml: Thanks for the question, Aaron. So when we talk about costs in robotics, it's really more of a broad statement about the technologies that enable robotics. So when you think about LiDAR and high-def cameras, because those technologies are being more broadly adopted across other applications outside of cleaning, over time, we're able to take advantage of lower cost of components, us and our competitors, which makes -- which allows us to offer robots at a more competitive price. And let's be clear, in this robotics space, our charter, our objective is to go gain unit share. And so we need to watch margins. We need to be cognizant of margins because we -- especially if we're cannibalizing ourselves. But given the rapid growth in this marketplace, we need to be outgrowing unit share right now and making sure that we're competitively priced in the marketplace. So my comment on cost really has to do more with the unique componentry that goes into enabling robotics, and we see those continue to come down the cost curve. It's not by leaps and bounds. And candidly, at our volumes, we're not a major player yet where we can leverage our volumes, but there are some volume breaks that as we grow our business, we can take advantage of. The benefit to us will be being able to offer robots to more customers at more competitive prices, which gives them the ability to get an even better ROI on the investment.
Aaron Reed: Are you seeing any pricing pressure then from some of those newer competitors coming in at all then?
David Huml: Yes. Great question. We are seeing pricing pressure from our competitors, all of our competitors, but I would say, especially the upstart entrance robotics-only competitors. These are brand-new upstart companies. They don't have an embedded business they're trying to protect. They're trying to go out and grow unit volumes so they can presumably get to profitability. So they're in a very different starting position than us. Given that pricing pressure, that's another one of the reasons we decided to stand up the TNC Robotics venture, so that we have a group of people inside the company that are thinking, planning, acting more entrepreneurially and going after the market as it exists today, acknowledging the reality of those robotics-only competitors and making sure that our value proposition is at a commandable premium to them. We do think that our value prop product and our ecosystem support can command a premium, but there's a limit to that premium. And so one of the first things that the robotics group is working on is making sure that we're competitively priced in the marketplace as well as have a competitive offering of solutions as well as product.
Aaron Reed: That makes sense. And then one more question here, and then I'll pass it off. Just switching back to your guidance. So your guidance on '26 reflects like a mid-single-digit growth and an EBITDA margin expansion in line with that of your long-term goals. So taking a step back, how should we think about the first part of '26, especially in the first quarter?
Fay West: Yes. So I think we'll see -- it's almost going to be like a tale of 2 halves. And I think I mentioned just previously and in the prepared remarks that Q1 will be impacted by the shutdown of the facilities for the physical inventory and the ramp-up. And so we're going to see an impact on sales, and impact on margin. The margin is not recoverable long term, but the sales will be recoverable within the year. So that's really just kind of from a timing perspective. We are going to slowly see kind of a ramp-up in Q2. And I think when you look at the first half versus the second half, we'll see significant improvement in the second half as we work through the kinks and stabilize the system and increase our efficiency and have the physical inventory and the impacts of that behind us. So we'll see improvement throughout Q2, but really a ramp-up in Q3 and Q4.
Operator: [Operator Instructions] And our next question comes from the line of Steve Ferazani with Sidoti.
Steve Ferazani: Appreciate all the detail on the call. I got to ask a couple of difficult questions. As you had imagine, Dave, I apologize for it ahead of time. But in terms of disclosing what were clearly issues that were going to be material to your results. Obviously, you knew probably within by early December. It's now late February. What was the decision process in terms of not disclosing some of these issues earlier to shareholders?
David Huml: Thanks for the question, Steve. We knew we had challenges. We were still in triage mode to understand what the magnitude of the challenges were and whether or not we're going to be in a position to recover some or all of it as we came through the year and ultimately, as we closed the books, which included our physical inventory in the first 2 weeks of January. You can imagine when you are unable to -- when we were unable to book orders for 3 weeks in November, when you can't book orders, you can't build, ship, invoice, collect, -- you also can't supply dates to customers on when they can expect to get their product. And so as we unlocked the challenge in getting orders into the system, we dumped not only the cutover orders from pre-go-live, but also 3 weeks' worth of orders that had come in. We dumped those into the system and had to reconcile who was going to get the limited production we were going to have in December and allocate the output across the customer base. So it was anything -- it was not like turning on a light switch and getting -- kind of getting back to business as usual. We really didn't have any sense for if we could recover, how much could we recover, what it would look like as we were scrambling to satisfy customers coming through December. Having said that, from Thanksgiving through the end of the year, we threw every lever forward we could. And I think you see that reflected in our cost of the revenue we generated in December in the quarter. We were inefficient. We had overtime. We ran multiple shifts and overtime. We're expediting freight. We were doing everything we could to -- with the goal of satisfying customers and reducing the customer frustration level that we had created with our challenge in the first 3 weeks of November. So yes, we knew we were having challenges, being able to estimate and quantify what the impact of those challenges would be and what the implications. We really didn't know that until we got through with the close. And so by that point, we were very close to our earnings release date. And so as soon as we knew you knew.
Steve Ferazani: Okay. Fair enough. Obviously, you're not the first company that has had these ERP implementation issues. The concern becomes when you couldn't book orders for 3 weeks, permanent customer loss because you're still guiding for 3% to 6.5% revenue growth next year. Do you have a sense, and I'm sure it's too early about the potential for permanent customer loss that might damage that growth rate? And more specifically, obviously, I'm thinking about your larger direct customers. Have you been able to survey, get any feedback? -- have any sense on that, right? Because that would seem to me to be the downside risk.
David Huml: Yes, it's a great question. It's one top of mind for me and us. Obviously, as we come through this experience over Q4 and now starting Q1, throughout this journey, our customers showed an amazing amount of patience with us. We communicated the original go-live early. They knew it was coming. I think they showed us a tremendous amount of patience and grace coming through kind of the first week. By second week, they had concerns. And by third week, we frustrated them, not only with our lack of ability to deliver, but our lack of ability to provide dates. So in response to that, in addition to everything we did internally to try to right the ship and get the system stable and get the orders in and build and produce. In addition to that, we've drawn very close to our customers. We've been very transparent and open with them, large customers and small customers to make sure that we understand their priorities and needs. They understand not only that we regret that happened, but what can we do to try to get them through this period and back on track. Largely speaking, we're still in contact with all of our customers where we've lost business, it's customers and distributors that told us we were going to lose it. It was a customer needed a machine and we just couldn't physically get it produced or there were some parts we couldn't get parts out and they had an alternative source for them. So I think we're aware of where we took the -- where we lost the sales in Q4. Similarly, as we came through kind of our Q1 January experience, we're close to customers, and I think we understand where that leakage has been. We have work to do. And I'm -- the customers are still talking to us and telling us what their needs are and maybe expressing frustration by working with us as we dig out of the hole. I'm very concerned about them. I'm less concerned about them than -- than a customer that just walked, right, and just said, "Hey, I'm frustrated and I'm moving on." The vast majority of our customers are certainly the largest are in that first camp, where they're frustrated. We're working with them. In some cases, we're on a daily reporting of their orders and their orders in process and their shipments to let them know how we're getting back on track. We have made significant progress coming through December. And then another -- we took another step back, I'll say, with the physical inventory from a customer perspective, and we made progress since that physical inventory. When I look at just the raw output at a macro level, we're trending positively since the physical inventory. We're projecting to be above water kind of back at output rates as we exit the quarter, mostly in February. We also have to work down the backlog. And so even though we're operating and the output is at target, we still have to work down the backlog. And my sense is -- our customers are not going to be ready to listen to us about recovery until they can feel it and they've got their back order product in hand. Then we will make a concerted effort to get back with our customers, understand how we begin to rebuild trust. But the biggest thing we can do is start performing so that they can rely on us to predictably deliver the way they have for the past years and in some cases, decades. So having said that, I think Fay commented earlier, there are some of these sales that we think are just gone. Certainly, some of the sales we couldn't recover in 2025 from the November experience. But if you open the aperture and look at a 2-year period, the lost sales are reflected in our guidance. So you can see that we still think we can gain back and claw back our rightful share of the market and rebuild the trust that we lost with customers.
Steve Ferazani: That's really helpful, Dave. I appreciate that.
David Huml: I'm sorry, just another point I make...
Steve Ferazani: Go ahead...
David Huml: When you think about customer frustration, it's not directly correlated to the size of the revenue in a particular order. What I mean by that is if a customer is going to order a $40,000 or $50,000 or $60,000 piece of equipment from us, an industrial piece of equipment, that has a 4- to 8-week lead time. So when they put the order in November and we gave them a 4 that became a 6 or a 4 that became an 8, they're not happy with it, and I get that, but they buy a piece of equipment every 4, 5, 6 years. That is a bit easier conversation than a customer that has a machine down and needs a repair part today. So in the first case, we're dealing with a $50,000, $60,000 piece of equipment and that revenue. In the second case, we may be dealing with a $100 parts order, but the machine is down and they need it today because they get the machine running. It's a different sense of urgency and frustration. So the customer frustration doesn't correlate exactly to revenue, is my point.
Steve Ferazani: That's fair. That's helpful. Looking at your balance sheet, you noted net leverage is still despite the operational issues, you still came out of the year 1x net leverage. You talked about -- you've used the buyback a little bit. But in terms of looking at the stock price today, it seems like if you're going to work through these issues and you seem to have confidence based on your guidance, it seems like there's an obvious best return of investment case here. How are you thinking about the buyback?
David Huml: Yes. Well, I think we exercised our authorization quite aggressively last year. We took down 1.1 million shares for $88 million, 6% of shares outstanding at the time. So although our leverage remained low, I think we exercised the authorization, and I'm pleased with how we action share buybacks. And we bought back shares last year because, one, the price was attractive at the time versus our view of value of the intrinsic value of the company and the stock in line with our capital allocation priorities. And so we -- as we've said before on publicly, as we look out next quarter, 2 quarters, if we don't have a strategic M&A opportunity upsize that's imminent and the stock is at an attractive price, then we're going to participate in buybacks. We'll continue that stance. We are staged to continue that stance into 2026, and we'll be equally as aggressive. We've stated that we want to keep our leverage within that 1x to 2x. So don't be surprised if we start flexing that here, especially if the stock reacts negatively to our ERP challenges, and that presents a greater buying opportunity for us. We think it's a great value creation opportunity for us. We're not really in the business of timing the market. But consistent with our capital allocation prioritization, we'll have a plan in place.
Steve Ferazani: Great. That's helpful. I get one more in, there were some filings recently around the change to your Board structure composition. Can you comment about those filings?
David Huml: Yes, I'd be happy to. I think we reinforced, we -- as a Board and the management team and I, we are really very open-minded about value creation opportunities for this business. So we engage -- we routinely engage investors and analysts alike on their ideas for value creation from our business, and we thoughtfully consider those as they are opposed and we discuss them and we digest them as a leadership team and a Board and decide which ones make sense and analyze the pros and cons and move forward. We have been engaged with Vision One since they moved into -- took a position of our stock late in 2024. We've had a series -- more recently, we had a series of very constructive conversations with the principles of Vision One, myself and our Chairman of the Board and some of our Board members as well. The Vision One constructive conversation really centered primarily around Board topics, Board composition, Board governance. And so in addition to our robust existing Board governance processes, including Board refreshments and our skills assessments and our director assessments, in addition to that, we entertained their comments and thoughts about composition and governance in a very thoughtful manner. And the output of that conversation is we've landed 2 new great directors on our Board, one of which was nominated by Tennant Company, that's Jim Glerum. Patrick Allen was nominated by Vision One and vetted by the company. We think we've added a significant skill sets to our Board, and we're pleased to have Jim and Patrick on board. You probably saw a cooperation agreement that has some fairly customary clauses in it, including a standstill, some Board assignments for the new -- or excuse me, some committee assignments for the new directors, and we've committed to move away from a staggered Board starting in 2027 or at least make the proposal to move away from a staggered Board. So I would say these 2 new Board directors, welcome to Jim and Patrick. I'm sure they're on the line. I talked to them just last night, and they're excited to be part of the Tennant organization and Board of Directors. And we're moving forward. It was a constructive set of conversations, and we're really focused on creating maximum value for the business in any way possible as we go forward.
Operator: And with no further questions at this time, I would like to turn the call back over to management for closing remarks.
David Huml: Thank you. If you'd like to learn more about Tennant, we will be participating in the following conferences, the Sidoti Virtual Small Cap Conference on March 19 and the 38th Annual ROTH Conference in California on March 23. Thank you all for your continued interest in our company. This concludes our earnings call. Hope you have a great day.
Operator: And ladies and gentlemen, this concludes today's call, and we thank you for your participation. You may now disconnect.